Martin Fewings: Good morning. Welcome to our 2019 Preliminary Results. Today, we have Ivan Glasenberg, our CEO; and Steve Kalmin, our CFO, with us today. Thank you for joining us. And Ivan, I'd like to invite you up. Thank you.
Ivan Glasenberg: Thank you. Good morning. Thank you for coming for our 2019 results. So looking at the highlights for 2019, healthy cash generation during the year. And as you'll see, 2019 adjusted EBITDA was $11.6 billion. That's down 26% from the previous year, and the major part of that is due to the lower commodity prices during the year. And as you note, copper was down about 8%, zinc down 13%, nickel slightly up 6%. Cobalt was a big one, down 57%. And if you take the Newcastle coal, down around about 27%. However, we still generated a large amount of cash and operating cash from our assets. And trading gave us -- sorry, gave us around about $10.3 billion. That's down 22% from the previous year. Shareholders' return, we returned to shareholders around about $5 billion. And as you'll note, $2.7 billion was by the way of dividends, cash distributions there; and $2.3 billion on buybacks during the year, $0.3 billion was from the 2018 program. Net CapEx was around about $5 billion. And as you can see, we still had solid margin and cost performance, again, on our key commodities, even though you had this reduction of commodity prices. And if you have a look at the EBITDA of the mining, the margins at the operations still relatively high even with the drop of these commodity prices, as I say. So if you exclude the ramp-up assets, we still have EBITDA margins at the mining assets of around 37% and as opposed to 41% during 2018. So we clearly kept our costs under control and allowed us still to make those high margin, even though we had the drop in the commodity prices. Coal EBITDA, the margin is 36% as opposed to 46% the previous year, but the costs were still contained. And as you'll see in coal, we contained the cost still at $45 a tonne, which allowed us to make a $26 margin. So the full year cost performance in our key commodities displays that we have top-quality Tier 1 assets. And if you have a look at our copper, excluding Africa, which will come in and the benefits of Africa will start coming in this year, and I think Africa, eventually, subject to the cobalt prices, will even hopefully bring the costs lower on the overall copper prices, but you'll see we still have $0.81 a pound copper production, which is extremely low. Tier 1 assets, as it clearly displays, zinc, $0.13; nickel, $2.77 excluding Koniambo, and we'll see Koniambo continues to perform better. And hopefully, that will start contributing to margins going forward. Thermal coal, as I said earlier, we're still maintaining tight cost around about $45, which allows us to make a $26 margin on our coal assets. Back to Marketing. As we've always said, Marketing is extremely resilient no matter what the commodity prices are doing. And even with the falling commodity prices, we still performed well in the Marketing sector, as you see, $2.4 billion, which is 2% down on the previous year, but a very strong second half in the metal performance and robust oil results throughout the year. And even you are all well aware of the cobalt loss we took during the first half. So the $2.4 billion includes the cobalt loss during the first half, so a very resilient performance across the Marketing sector. And as I say, especially in the second half of the year, the metals marketing increased over the year -- in the second half. Talk about the balance sheet. Strong balance sheet. We still have available committed liquidity of around about $10.1 billion, and we have bond maturities kept about around $3 billion per year. Net debt, $17.6 billion, and that includes the $1.25 billion added on because of IFRS 16 accounting rules, which will rely -- which forced to put related lease liabilities on to the balance sheet. 2020, we got -- the idea is to reduce the net debt to EBITDA down to 1x, also to bring the debt around about to $14 billion to $15 billion, which Steve has always said that we had liked it within that range, and therefore, we'll move it around. That's where we'd like to be even with 1x net debt to EBITDA. So even with higher EBITDA going forward, we would still like to keep the debt around about that level. We've recommended a dividend this year of $0.20, which is around about $2.6 billion, which will be payable in 2 equal installments over the year. Talking about sustainability performance. Fatalities is still an issue for the company. And as you will note, we -- fatalities has increased during the year, a large result of some of our focus assets, which we're still working heavily on. And Peter is here today, and he spoke about it in our investor presentation in December, the work being done in that area, spent a lot of time at 2 of the problematic assets, and we're doing a full restructuring over there in Kazzinc and in Mopani. And hopefully, we will start reducing that and become fatality-free, which is our aim going forward. So a lot of work has been spent in that area. And Peter and his team is employing a lot of people in that area to ensure we start improving considerably there. Okay. This is our commitment of Glencore to transition to a low-carbon economy. And as you are aware, in 2019, a large amount of our capital expenditure is towards energy transition materials. And basically, that is copper, cobalt and nickel. And if you have a look where our CapEx has been spent during 2019, it's been in those areas. It is the ramp-up of Mopani. It is the Katanga asset where we produce a large amount of our cobalt and copper. Katanga, this year, we said will produce 270,000 tonnes of copper, but it will produce around about 30,000, 32,000 tonnes of cobalt. So we're starting to transition most of our capital expenditure into that area of the low-carbon economy. Nickel in Canada, which is used in the battery production, we'll talk about that later, with increasing production of nickel at Sudbury and capital being spent there. So what is happening in the other areas of our business, coal, the Scope 3 emissions? What is Scope 3 emissions? We all know Scope 3 emissions is the emissions in the production of steel, in the production of power and the use of fossil fuels in different forms of energy, whilst you are burning at these CO2 emissions during the production of those commodities when you are utilizing those fossil fuels. And what is happening? We -- looking at our coal reserve base and where our coal production is going, it is depleting over the years. We are utilizing, digging the material out of the ground and has been -- is depleting, especially in Colombia and South Africa, we are depleting reserves. So what we say here, our projection is by the year 2035, our coal production will reduce by around about 30%. And therefore, our Scope 3 emissions, whilst coal is being burnt in those power stations, is reducing. So what are we doing? We are not selling our coal assets to get the Scope 3 off our books. Scope 3, because if you sell the assets and you sell it and you get rid of it or you spin it out, et cetera, Scope 3 emissions will still be occurring. What we are doing, we are, in fact, depleting our reserve. And therefore, Glencore is having less Scope 3 emissions from the production of each commodity and especially coal as we move into other forms of a better low-carbon economy, as I say, with the production of copper, nickel and cobalt. So that's where we're going as Glencore to reduce our Scope 3 emissions, automatically reducing as we deplete our reserves going forward. If we look at cobalt, and as I said, an important part of the future to enable the mobility of electric vehicles, we are a major producer of cobalt in the world today. We produce around about 32,000 tonnes of cobalt. The market is around about 110,000 tonnes. And going forward, as we expand further with Katanga, hopefully, bringing Mutanda back up in about 2 years or 3 years, depending upon how the market looks and how we transition to the low-sulfide copper, we'll be a major producer of cobalt in the world. And as you are aware, with the transition to the electric vehicles and 2 million electric vehicles being produced in the world this year and growing further, we believe around about the year 2030, we'll need another 75,000 tonnes of cobalt. So a very important commodity. But what we have done with cobalt and what we're trying to display in this slide is we have tied up under long-term contracts, because of the demand for cobalt in the battery-making process for electric vehicles, we tied up a lot of long-term supply contracts. And because of us, our cobalt being independently audited each year by the Cobalt Refinery Supply Chain Due Diligence Standard, and this is a standard defined by Responsibility Mining Initiative, the battery makers around the world like to have iCobalt, which is non-artisanal cobalt that is produced in a large industrial operation and, therefore, is artisanal-free cobalt. So we've signed these contracts. You've seen them being announced with Umicore, with GEM, with SK Innovation and Samsung. And that is tying up a lot of our long-term cobalt supply to these major consumers of cobalt, which will be producing a large amount of the world's batteries for electric vehicles. So that gives you a rundown of the structure of what we're doing going forward. And Steve will take you through the financials. Thank you.
Steven Kalmin: Thanks, Ivan, and good morning to those in the room and those that may be listening in on the call. I think it's a reasonably clean, self-explanatory financial report. We were here just a couple of months ago updating on the longer term or the medium term where we gave production, cost and CapEx guidance for the next 3 years. I'll leave some of that also through the presentation, both in terms of the cash flow generation at spot prices today and some cost developments as well that we've obviously seen with -- and even on prices as we've gone through December to where we are today, it's pretty much as you were in terms of free cash flow generation because we've seen some reductions in some of the metals, coronavirus sort of discounting on some of those. But coal is holding up pretty well. Gold, PGM and cobalt, in fact, is also up about 15% or so as well. So just from a historical perspective, Ivan has highlighted some of these. EBITDA, $11.6 billion, it was a pickup second half over first half. We were at $5.6 billion in the first half. We've had the continuation of lower commodity prices, which has affected the full year results, primarily in copper and in cobalt. The Industrial business was at $9 billion, down 32%. Marketing had a pleasing second half to the year, finishing $2.4 billion. As Ivan mentioned, it was clearly covering some of the headwinds, particularly in cobalt for the first half, where we announced the $350 million noncash NRV inventory adjustment, if you like. Some of that would have reversed back on a full year basis, the cobalt absorbed, noncash losses would have been in the 200s in that year. But the $2.4 billion reflects the net amount of all that. And clearly, second half performance was annualizing towards the top half of our range. In terms of the cash generation, I think the $10.3 billion, the cash generated pre-working capital is a more indicative headline cash proxy because it sort of accounts for both the cobalt noncash that occurred during the first half, and it's pre some tax mismatch or some lag effects that happens, which hits us at the funds from operation. So the cash pre-working capital, which you can see, was down 22%. That pretty much mirrors the EBITDA, which was down 26%, slight improvement because of cobalt being noncash at the time. The actual funds from operations, $7.9 billion, that absorbs. That's after interest and tax. And tax, in particular, is something that you should look at as something that was in cash terms, relative to headline earnings, in 2019, reflects a big catch-up in tax paid in 2019 in respect of 2018. We were still working through some tax losses, particularly in Australia. And you'll see that Page 27 of the annual report, just in the balance sheet, the income tax payable itself dropped from $1.1 billion to $350 million of income tax accrual at the end of the year. So there was $755 million reduction there as well as some prepayments in some jurisdictions that we expect some refunds as well. So there's close to $1 billion of tax that's been absorbed or paid within that funds from operation. It doesn't relate to the headline EBITDA or cash during that year and is then effectively normalized and reflected in the spot free cash flow generation, which I'll talk about later. So pro forma really was closer to $9 billion in terms of funds from operations. And you'll see the likes of some of that analysis in footnotes that we give throughout the financial statements. Net debt, $17.6 billion. I'll talk about that, the pathway also towards $14 billion to $15 billion as we look towards 2019. The leases was -- noncash adoption of IFRS 16 was a major impact in why we're there and not close to the $16 billion. There was $1.3 billion of the lease impact, $900 million upon adoption as well as some increases that's happened during the year in leasing, some of it in the marketing as well. Each time we charter a ship for more than 12 months today a vessel, maybe 18 months or so, that suddenly comes on the balance sheet. And -- or a rental of some warehouse for storage of aluminum, if you do an 18-month deal, that comes on as leasing adjustments in these things. Those are going to recycle, particularly the marketing leases, there was $0.6 billion. They're going to recycle very quickly. The average profile or amortization maturity was way less than 2 years on that particular thrust. I'll talk about all that later on. $17.6 billion, as Ivan mentioned, looking towards $14 billion, $15 billion as our sort of next target or trigger or catalyst, at which point we would sort of reconsider that the balance sheet is in a much stronger position to reconsider capital management either in the form of additional dividends or potential buybacks at that particular point in time. So if we get to the Industrial, I think this is all well covered within the report and some of the details. Ivan still mentioned, notwithstanding the lower commodity prices, which we'll see in the bridge later on, which accounted for, by far, the majority of the contraction in earnings from 2018 to 2019, about $4 billion of net difference. And that was across, clearly, cobalt, 57%. That's turned the corner now at least. And Mutanda certainly helped the rebalancing of that market as well. Coal itself has found some footings in certain markets as well. Weak -- potentially, Europe is still a bit picked up in the South African and in Asian sentiment. Coal has also picked up a little bit, and we'll show the spot cash flow generation also. But Ivan also mentioned still the EBITDA margins, the buffer relative to still generating healthy margins within the business. On the right-hand side, you can still see pretty healthy margins, notwithstanding that reflects the low-cost structure generally within our business, the high-margin structure. Ferrochrome is a sort of generally, I don't want to say a rounding error, but it's a smaller commodity in the business. That's been under extreme pressure. We saw prices 14%, and that whole business accounted for $300 million in the price variance as well. We've announced to people, it's well chronicled, the pressure, the margin, the power prices, everything that's down there, and the industry is trying to sort of respond. And we've announced, together with obviously various other companies down there, are considering what the appropriate level of production is in these cost structures and how to turn that business around as well. And hopefully, we will see some improvements going forward. On that particular bridge that I mentioned, so we -- the big tower, the others are relatively small. It's really the price contraction during the year as well, $4.3 billion. That was $2 billion in coal alone across the various mixes of coal. And $2.3 billion was on the metal side, of which our overall copper reporting mine was $1.5 billion; of that cobalt, $900 million; and copper, $600 million alone. So cobalt clearly had a big impact both in pricing. And to some extent, which will catch up over the next year or 2, is the variance also between production and sales. There's been a slow period also in terms of particularly from Katanga, if you like. They also released their results a few days ago. They are now 17,000 tonnes of production and about 4,000, 4,500, 5,000 tonnes of sales. There's a buildup of drying capacity leg. They've got to catch up in the processing. So anyone with a calculator can work out, clearly, they're sitting with at least 12,000, 13,000 tonnes of cobalt contained down within KCC as well. That also affects the timing, will also contribute to lowering of costs and cash flow generation forward. Our spot prices, our scenarios do not assume this net sell-down. We just [indiscernible] we sell what we produce, but that is also a factor that would have held back reporting of cash and profits during the year as well. Volume, not much to speak of. The -- it was the full year effect of the 2 coal acquisitions can still contribute -- continue to generate good margins and strong cash flow generation both at HVO and Hail Creek. They were required pathway through 2018, so there was a slight volume impact, about $0.4 billion. And then there were some negative impacts, a little bit Koniambo, but also some timing differences, again, of some sales against production, which should provide -- at the point in time that we then go and sell down those inventories, it will obviously contribute some earnings going forward. There was a little bit in zinc, nickel and in coal where we actually had some slight inventory differences. Cost impact was -- you had some inflationary impacts. Clearly, in Argentina is extreme, South Africa to a lesser extent. You've got the currency relief on the other side. So it's sort of as you were, if you look at the currency benefits, Argentina, $130 million; South Africa, $150 million as well. Those will affect some of the inflation as well as some power prices. There was a small noncash -- or it was an effect also during that particular year where the previous year, we have to look at when we're quite extract all those years ago, there were some provisions raised at the time for some take-or-pay provisions relative to spot prices, which is just unwinding over a period of time. Each year, we need to look at our long-term profiles and see whether any of that provision needs to be increased or decreased. And there was a not -- sort of the prior year was slightly positively affected by a reversal of some of that provision. There wasn't the same effect this year. So it's a base period where there's a negative -- there was no negative this year, but there's a small positive next year. That's why you have a negative variance. It was all noncash as that worked its way through the system. And African copper, that variance of $456 million , that's not the price. That's just the volume cost variances. That was exactly the same variance at the half year. So you've seen a stabilization in that business performance, both from the cost as well as the production. I think it was about $420 million, $430 million at the half year. And that's a function of, of course, Mutanda relative to the previous year, with not so much on the cobalt side before it went into care and maintenance, but there's low production volumes. We spoke about ramp and inflation and price pressure on the reagents and the consumables through the first half of the year, particularly asset in lime, and the first full effect this year of the mining code, which started effectively around the middle of 2018. So these were impacts that ultimately, if you look at Africa copper generally, it had a negative EBITDA 2019 of $350 million, strongly positive in 2018, both cobalt prices, volume in Mutanda, et cetera. On the spot scenario, as we look into 2020, there's about a $220 million positive. So there's going to be a $500 million or so positive variance as we go from '19 into '20 versus the current plans. And hopefully, we've reset both operational cost and the likes comfortably so we can deliver on that positive variance as we go forward. A few more details on the Industrial performance in the usual format that many of you will be familiar. Page 24 of the presentation, don't intend to go through that, but that provides a lot more of the detailed building blocks as to how the EBITDA of this business arose relative to some of the building blocks in the guidance and some of the information that we provided over the years. So they've come in reasonably close, some costs generally a little bit lower production in 1 or 2 departments, a little bit weaker. But net-net, we would have exceeded the overall Industrial performance of the sort of small model, if you like, that we do, would have beaten on the coal, copper side and nickel, maybe a little bit weaker on the zinc side. So overall, as you can see, copper is improving as the African business stabilizes and the volume and cost benefits arise. That $3 billion was made up $3.3 billion, as I said, ex Africa, and negative $300 million for Africa to give a $300 million. Africa was negative $3 billion for the first half as well. So it was effectively flat second half, and you've got improving performance there. The overall business was $3 billion for the full year and $1.3 billion for the first half. So you're seeing that growth in that business. We expect that to continue as just on spot prices today, where copper's come off, cobalt where it is, our updated cost and volume guidance will be about $3.4 billion EBITDA around spot macros at the moment. That business, you can see as well, hopefully, we would have peaked at the $1.48 per pound price. That's including the African business. And we've said by 2021, that should be getting across the whole business towards the $1 a pound. And you can see on the bottom left, ex Africa has been very stable. The big South American businesses, Australia, et cetera, down at the $0.81 a pound. So there's been a significant drag through the last 12, 18 months. We spoke at length about that through the interim results last year in August. We gave some updates on plants' operational performance. Katanga itself delivered its targets for the second half and has started reasonably well also for the 2020 as well. Relative to guidance as well, so nickel and coal have come in slightly better, as you can see, in terms of cost guidance that we've given through the second half of last year. At the bottom, on the nickel business, at 280 -- or $3.96, $3.98 flat; ex Koniambo, $2.88 to $2.77, not much in there as well. And thermal coal has been holding pretty well at the $45, $46 cost and the margin of 26%, 27%. So I think our -- the sort of metrics, the building blocks that we provided have shown themselves to be quite useful. And we're looking to continually provide, and I'll say the 2020 numbers as we work our way through the system as well. On the Marketing slide, as we mentioned before, $2.4 billion. We needed to catch up clearly in the second half, and we have done that across all businesses where we're strong. Oil is clearly the standout. You can see the strength of the diversification across products, geography, different markets, different backdrops of economies to still deliver the $2.4 billion this year, as I said, still having absorbed the cobalt noncash adjustments, which cumulatively over the year, having taken the half time score at $350 million, for the full year, it would have been in the 200s. So still significant, clearly a less material driver over the full year and something that is obviously less material to have made a bigger disclosure around for the full year as well. As I mentioned also on the call earlier on, what's something that's lost down in those sort of bottom blue numbers as well, but not to necessarily forget, is there was quite a good performance in the Glencore Agri business during the course of 2019. So our share of the net income was $58 million compared to $21 million, so off a lower base. We're doubling up on that business, but the underlying business was circa 10% or so up. And -- but there's high depreciation in everything else, which is why we'll end up with a share of net income. But that business is doing pretty well, and we expect even a better 2020 on 2019. So don't forget that, that exists. We own 50% of that business and sort of reconfirm the guidance range as well. On CapEx as well, no change to the 3rd of December guidance for Industrial from '20, '21, '22, the $5.5 billion, $5 billion and $4.2 billion. That is fully loaded with industrial leases and everything that we expect of how the debt evolution will go beyond 2020, '21, 22. We gave the movements. We provided the -- some of the building blocks of what we're still expecting. The expansionary on the bottom towards the right-hand side, up as well, is effectively working. There hasn't been any new big sanctioning of any sort of major projects. There's still the multiple-year projects, as you'd expect, in this business as well. There's the Katanga acid plant that gets commissioned through the first half of this year. That's working its way through the system. Zhairem, the big zinc replenishment and mine over within the Kazzinc business, that gets commissioned during the course of this year. Hence, the big expansion you'll see later on in zinc tonnes in the next couple of years. There's almost a parallel 2 mines operating before you do see some declines out there within the next 2 or 3 years. United, a brownfield coal, approval down in Australia, just to replace some declining tonnes elsewhere. And the big refreshment of the whole Canadian complex across both Raglan, Onaping Depth, the whole Sudbury Basin to extend and preserve 20-plus years' worth of life there. Astron oil refinery is, as we spoke last year in December, there is a -- it was part of the commitment in buying that. There is an upgrade around turning that into ultimately a good business in terms of margin environments, but it still needs to adapt to clean fuels and debottleneck that particular business in terms of throughput. That will consume some CapEx and then generate some reasonable cash going forward. All drilling programs are all-in sustaining. [Technical Difficulty].  I think we can continue. Looks like we're good to go. The middle graph, just wanted to -- this should be the only time that it was just around the IFRS, the leases and just trying to show you how it works through the 120 pages as you go through. Where we do report on Page 51 or so now to the financials, where we do show the gross amount capitalized into the assets on both the Marketing and the Industrial, so $5.3 billion on the Industrial, $438 million on the Marketing side. Of course, Marketing is mostly leases at shipping and vessels. There's no other CapEx that necessarily goes into that business. Then from a net cash perspective, you then pull out the IFRS leases. And the other, most of it is Page 10, you can see the new leases were added was $582 million. There's a small amount of interest that gets capitalized. Obviously, that's noncash as well. There's the $652 million, the net sale of the PP&E, in cash terms, gives the $4.966 billion. That's -- it's a transition year in respect to the leasing, as I said, both on the bottom right, those $5.5 billion, $5 billion, $4.2 billion is in terms of -- that's neutral in terms of balance sheet. Those are fully loaded CapEx, irrespective. There's some small leasing that we still expect in the Industrial side. 2020, there's a few commitments on some fleet, and then it tapers off effectively beyond that, and it should be very little on the Industrial side. In terms of balance sheet, as Ivan said, very, very, very strong liquidity position, $10 billion; a very manageable maturity profile, no more than about $3 billion. Still looking towards the longer-term $10 billion, $16 billion range. That's excluding marketing leases because clearly, those has no part to play within an overall longer-term sort of capital structure. In terms of true leverage, these are more really short-term operating type of consuming expenses within our Marketing business, whether it's vessels and transport, if you like. So $17.6 billion was reported net debt, $0.6 billion marketing leases, we get down to $17 billion. We have mentioned that we would like to move towards the $14 billion to $15 billion or close to the 1x and the -- before we would consider. So there is a priority or a natural de-gearing that's going to happen through the generation of free cash flow, $4.3 billion. I'm going to talk about that later on. 1 point -- $2.6 billion is the distribution that's been recommended. So the surplus cash flow generation above all, that's $1.7 billion. That will be prioritized towards debt reduction, which should see us in the current price environment move to a little bit above $15 billion. That's pre any long-term monetizations, disposals that we may have and also some release of some margin calls. There was a big outflow just towards the end of the year 2019. The last 2 weeks, we saw big spikes in oil and crude. Oil and copper, both up 5%, 6% just in the month. The year finished at about $66, $67 crude. We're obviously more down at $57. Copper was about 5300. We've retraced those movements in December. And just in that month alone, we had $800 million of margin calls go out in respect of our hedging facilities. Those have all come back since now through January. Some of that obviously adjust the RMI. Some of it does result in a non-RMI, depending on what's been hedged across the book as well. So we have seen some partial reduction there. And there is a focus still on some noncore, long-term monetization, which I'll talk a little bit about that later on as well. So there's sort of the pathway towards $15 billion, $16 billion -- $14 billion to $15 billion. The pace of that and the trajectory and acceleration, everything else is going to be a function of macros, commodity prices. How soon do we get there? Is it 6, 9, 12 months? I mean pick your numbers, but it's going to be a positive trajectory on the way down. And that's just clearly more headroom, more comfort, more conservatively structured. And it would be a level at which we would then gather around the table and debate as to whether we wish the time frame around capital management, additional buybacks and the likes would be back on the table at that particular point in time. In terms of potential disposals or monetizations, Page 26, we just update some of our various stakes, listed or otherwise, and some potential noncore asset disposals. There's not -- yes, $1 billion is still internally a number that we can construct a relatively easy case for delivering on that. But in terms of time and quantum, it's now going to be a function of us being able to come down. The market backdrop to date, the environment is very healthy in some areas, maybe less healthy in others, given things. So anything, pressures, PGM, infrastructure, low interest rate environment, we have clearly positive exposure to some of those. There's a noncore asset, say, I want to just highlight, which is probably loss-generating over here. As many of you know, we sold 50% of the Mototolo PGM operation in South Africa about 12, 18 months ago. It was 50-50 with Anglo. We sold it to Anglo so they could have 100%, but we effectively retained most of the price upside through a 5- to 7-year period. So there was a deferred consideration, which was not linked to operation. They took operational risk, but we were -- there was some price deferral as part of that. So there's a series of 5 or 6 years' worth of cash flows given the explosion in rhodium, palladium, platinum and the like. Our -- over the next few years, our nominal sort of forward curve cash flows in respect of that is in the sort of $400 million to $500 million range at the moment. So even in the near years, you would get $100 million plus, and then it would sort of tail off. So that's something we could look at. Whether you had some of that, how do you accelerate it? How do you sort of monetize? How do you lock it in? That something like that can clearly go towards -- even something like that, that was almost off the screen is a reasonable contributor potentially to that, and you still have some U.S. infrastructure, long-term loans, other precious exposures that potentially gets us down there. So watch that space. We'll sort of come there. Just to finish up before we get on the 2020. This just shows the -- in fact, the movements in net debt in terms of the typical operational cycle was, in fact, slightly positive. On the right -- oh, boy. On the right-hand side, so we actually -- this is before noncash leases and a small amount of debt that was assumed in the Astron acquisition as well. I think there was about $200 million. But funds from operations, $7.9 billion, really $9 billion pre the tax catch-up, which is almost a working capital type adjustment. I spoke about that earlier on. We were flat in terms of net acquisitions and disposals last year. Hopefully, we can see some positive movement there, which I spoke about earlier on. The net cash CapEx -- cash I spoke, the $5 billion. The $5.3 billion of distribution is positive. And then you had some noncash, $1.3 billion leasing, which was the major factor in getting to $17.6 billion, where we were at that stage. Going forward, you can see some deleveraging, some cash flow potential, $5 billion of distribution, $5.3 billion last year. This year, we've committed to $2.6 billion at the moment. Cash CapEx, similar levels. And hopefully, some positive on the acquisition front and still a strong business in terms of cash flow generation. So 2020, if we just look at some of that guidance. Maybe let's -- if we start on Page 18. So there's the production now 2021, '22, exactly the same as what we gave 3rd of December, no change. So we're still comfortable with those numbers there. So where do we see some movements '19 to '20, which we spoke about, copper and cobalt down on account of Mutanda, but a cost structure that's improving, cash flow business overall improving in the business. Zinc actually has some strengthening volumes, particularly Zhairem, whilst Antamina goes through a stronger zinc period. Both of those factors start, between '21, '22, declining because you've got some parallel mines at Kazzinc, Antamina also normalizes back then. You've got 1 or 2 smaller assets in Canada and South America shut in 2022. Nickel, Koniambo should see improvements during this year, another 4,000 tonnes there. Ferrichrome this year around supply management, market conditions as to where we are this year. Coal, pretty flat. Oil does see some reasonable growth out of all the jurisdictions in Cameroon, Equatorial Guinea and Chad as well. So what does that all mean? Back to the cash flow generation at the moment and the cost structures. So copper, you can see a declining profile in terms of cost structure, $1.20, $0.82. That's the same as what we advised a couple of months ago. It should see $3.4 billion at current prices being generated within the copper business. That does not include additional cobalt sales that are there to be had, subject to market price and the likes and drawing capacity that exists down there. Zinc, a slight reduction in cost guidance relative to where we are, a little bit by product, a little bit currency. Nickel, quite a sharp reduction in price, both in actual terms relative to '19, but also against guidance that we gave back in December, which was $3.96 down to $3.51. The PGM by-product is a major factor. But on cobalt out of Canada, we produce a lot of the rhodium, the palladium and the platinum, which delivers a benefit relative to December of more than $100 million into the nickel business as well. So they will deliver another $0.7 billion. And coal, $3.2 billion, around the spot price at the moment on 135 million tonnes. We've seen costs come down $2 since December, $47 down to $45. Currencies would play a big part, Colombia, South Africa, Australia; low oil prices, a little bit as well. And the margins of a $74 Newcastle, which is roughly where it is, coking coal has come off -- has increased a bit, $1.60. Europe -- not Europe, South Africa, API4 is strong. API2 is clearly lagging. But across the portfolio, we're still well positioned there. And then as it all adds up, you've got $12.2 billion of net EBITDA at spot prices today, generating $4.3 billion of cash flow, so still 1.5 -- more than 1.5x covering the base distribution where we are. And the pace of getting some of the targets from the balance sheet and additional capital management is really going to be a function of some of the macros as we go forward. I suspect there'll be some questions on that later on. So I hand back to Ivan.
Ivan Glasenberg: Thanks, Steve. Okay. What are our 2020 priorities? This is the same slide we spoke about in December, the important issues the company is focusing on. And as I said earlier, health and safety is an extremely important issue, and Peter is spending a lot of time in that. And as I say, reviewing all our assets and especially the assets where we've had the fatalities, sending in a team to ensure we get 0 fatality throughout the group, and a lot of work has been spent on that. And hopefully, this year, we'll reduce it considerably. The ramp-up/development assets, as we spoke about in December, we got our various ramp-up assets to ensure that they deliver and they perform on time and on budget. And Katanga is a major one, the one in Africa, which is a large asset. As we said, last year, we ended up producing 230,000 tonnes. This year, we aim to produce 270,000 tonnes of copper and around about 29,000 tonnes of cobalt. And it looks like we are on line, and we believe we will hit those numbers during this year. And we've had a good start to the year at that asset. The Mopani smelter restarted -- has just restarted. It's ramping up slowly and also performing well. So hopefully, we will have a successful commissioning there. The asset plant in Katanga, which should get into operation during the first half of this year, is also online, on budget, so that should perform well. And once again, the last asset that we've got in the ramp-up phase is Koniambo in New Caledonia, and to ensure that we get operational stability over there, and that's the last of our ramp-up assets. And then hopefully, all our assets will be performing well across the group and we won't have any issues at the assets. Operating efficiency and capital discipline. As we've seen, we do have assets which is in the lowest quartile, and they're performing well. Steve gave details how they're going to perform during 2020 and, once again, to manage the free cash flow of the company in a correct manner. Strong balance sheet commitment to our BBB investment-grade rating and, as we said and we emphasized, to hit an EBITDA -- net debt to EBITDA of 1x and to keep the total net debt $14 billion to $15 billion. Depending upon the cash flow, as this year, you saw with the current commodity prices, we'll have an EBITDA around about $12.2 billion, which would generate 4.7 -- $4.6 billion of free cash flow. And as we said earlier, we'll utilize that for the dividend repayment to reduce the debt down to the $14 billion, $15 billion mark, underpinning where commodity prices are going to be. If there's excess, we can continue focusing on more buybacks, but once again, depending upon where the share price is sitting and how the commodity prices are flowing and whether the cash flow will allow us to continue doing that. Management, we spoke about this in December. During this year, we will transition to a new management team. We've transitioned most of the divisions to the new management team. This is a fourth generation, as I mentioned during December, a fourth generation of management changes. It will continue taking place during this year, and we're working on that to ensure that we will have the new management in place as soon as possible. Confidence. Stability and consistency through the operation, as I said earlier, to ensure the assets are performing well. Balance sheet in good shape. Return any excess cash to shareholders and be very disciplined on any capital allocation and ensure we're not wasting capital on new assets or expanding assets merely for the sake of increasing volume into the market, which could affect the market and not getting the right return for our shareholders. So we continue emphasizing to ensure that if there is excess cash in the company, it is deployed in the right manner and not just putting assets for the sake of growing the business. But if we cannot get the right returns within the business, return cash to the shareholders. So we'll continue on that program, as we have done in the past, to ensure we are handing the company in the correct manner. So I think that gives you a summary of the results for 2019 and how we see the company going forward. So we're open to any questions.
A - Martin Fewings: Jason?
Ivan Glasenberg: Jason? Martin?
Jason Fairclough: Sorry, Steve, I wasn't sure if you touched on it now. But just in terms of the write-downs, the $2.8 billion, could you just talk us a little bit through that? Is that a pricing thing? Or is there something else going on there? And just to be clear, is that pre or post tax?
Steven Kalmin: Those are post-tax numbers. So the main -- I mean if you run through the more material, which some of them are pricing impacts, some more other events, Colombian coal is about $1 billion of that, circa half across Cerrejon and half across Prodeco as well. That coal is predominantly going into Europe historically, pricing of API2. It's competing with low gas prices, particularly in Europe. So the overall economics, notwithstanding energy mix and the likes, that's what's really dented some of the economics and the prospects of getting better value for that product as well.  So we have taken -- and particularly longer-life assets, pricing over a long period of time will have less impact. Shorter-life assets will have a greater impact also in terms of NPV. So these are not the long-life assets like we have in Australia and some other operations as well. So you're talking 7 years Prodeco and then sort of 10-ish or so Colombia, if you look at the, obviously, resource base over there. So we did take our longer term to API2 prices down. I think we give the details on the financials exactly what those assumptions are. And that's just across the normal curves would have had that $1 billion or so impact there. So that is price related on European competition in terms of prices. Chad oil, there's $500 million or so. That was already in the June results as well. We have our operating assets on the west side through 3 or 4 different fields. They're producing, drilling continues, fairly straightforward also there. We also had some big exploration acreage more on the east side, which there is some expiries and continuous processes they need to go to negotiate, extend and get those terms. The expiration of many of those was during the course of 2019. It was months of discussions and potential sort of negotiations around whether it makes sense to continue to with those projects or on what basis you could continue in the index side with no agreements being reached with the local government. So we had to take the full impairment on the whole exploration acreage as well on that side. So there was $500 million or so there.  And then Mutanda, also something that was done in the August numbers, there was $300 million there, which was a function of them going into sort of the announced care and maintenance and just what the effect that has on the sort of cash flow profile where you've stalled on cash and then, again, long term -- there wasn't any long-term price adjustments that was purely reflecting the sort of pause in business there. So those were the main ones.
Martin Fewings: Liam?
Liam Fitzpatrick: Liam Fitzpatrick from Deutsche. Two questions on coal. Firstly, on Colombia, I think you're losing cash at spot prices. So how long do you tolerate that before you consider production cuts or something similar? And then secondly, just on the broader question of a potential spin-out. Is that part of your medium-term thinking? And if so, what would be the potential triggers to that?
Ivan Glasenberg: Yes. Look, Colombian coal, as you know, in Glencore, if we are still losing cash at any assets, we're not going to keep mining if it is cash negative. You've seen what we've done it before in zinc. We've done it in coal. We've done it in our various operations. So we continue assessing Prodeco, La Jagua and Calenturitas type operation. And if they continue losing cash and we don't see a turnaround in the coal prices, which, as we said, into Europe is where the issues occur on API2, yes, then we'd really got to make a strong decision and see what we do there, which we are assessing all the time.
Liam Fitzpatrick: Cerrejon still makes money?
Ivan Glasenberg: Cerrejon makes money, no matter. Cerrejon produces 30 million tonnes, so its cash costs are a bit lower. It also is -- contracts are not only into Europe where it gets the benefit of the higher pricing. So we're carefully monitoring actually what the LNG and the gas prices are doing in Europe and what effect that's having on the API2 pricing. So let's continue reassessing Glencore. And yes, there may have to be some hard decisions made there. Regarding the coal business, right now, the coal business continues. If there are issues, and we're having issues of investors or bankers or people regarding our core business, then we got to assess what we do with it. But right now, it's performing well. As you saw, the EBITDA numbers are good, and it continues to remain within our operations. And we spoke about...
Liam Fitzpatrick: And it does decline a little bit?
Ivan Glasenberg: It declines. We spoke about the Scope 3 transmissions when the coal is burned in different power stations around the world, like all Scope 3 around the world. Ours reduces automatically because our reserves are reducing, as Steve said. Colombia, by the year 2035, would stop producing both Cerrejon and Prodeco. And therefore, we will be reducing our Scope 3 emissions, projected around about 30% by 2035. South Africa also decreases as time goes on the reserve base there. Australia maintains itself. It is the high-quality, better-quality coal, so you can continue staying at those levels. And we'll continue producing that.
Martin Fewings: Sylvain?
Sylvain Brunet: Quick question maybe on Marketing. Just wondering in the context of disruptions in China, whether you have any issues with performance already or if it's too early to say. And also in this context, if you could talk perhaps to the impact that -- disruptions in China hiring on the domestic market, whether that's creating more opportunities for you to sell into China on coal.
Ivan Glasenberg: Yes. The first question, a bit too early to say. As you know, the Chinese have just come back from the new year. So we're trying to assess what the effect is. We haven't had cancellation of shipments. We haven't had delays in opening of letters of credits across most of our commodities. So nothing really to give a clear answer yet. We're closely monitoring it. They've taken an extra week, 2 weeks potentially after the holiday period, and we'll see what effect that is having on the first quarter consumption. So a bit too early to say. The second part of your question was about production in China...
Sylvain Brunet: Domestic production, yes.
Ivan Glasenberg: Domestic production. Yes. Well, on coal, you know that is the case. Coal production in China has decreased during the first few weeks of the year and especially since the coronavirus situation. So we think that is having a positive effect on the worldwide coal prices because of less production in China. And as you know, China is one of the largest producers in the world today of coal.
Martin Fewings: Myles?
Myles Allsop: Myles Allsop, UBS. Maybe a few quick questions. First of all, on Katanga, in the drying capacity. How much cobalt would you be able to sell this year? And when does the drying capacity get up to fully invested and fully operational?
Steven Kalmin: It should be through Q2. They gave also their release on last week or so where they sort of showed the full capacity reaching because they have 2 drying units. One sort of came back, still needing some work eventually. Then there was a bigger job done on 2, 2.5. That one is sort of, for a month or two, is back up. But they should be full dry capacity in Q2, which will allow for both drying of existing production and clearly catching up on some of the areas as well, which one -- so they can sell more than they produce this year. They will have both the capacity and logistics to be able to do that.
Myles Allsop: Okay. But we're working on the assumption that you sell what you produce this year and you came...
Steven Kalmin: That's what we've effectively worked on in terms of the overall sort of cost guidance and EBITDA generation that we give in the copper business at sort of $1.20. Katanga itself doesn't specifically give any guidance themselves at a granular level around their level. They just talk about production guidance of the 27,000 tonnes, plus/minus 2000. Sales will be a function of just getting up and running.
Myles Allsop: And with the DRC and the new mining code, where about the discussions, it seems that it's all gone very quiet. Are we into a period of acceptance now and you just have to live in this new slightly higher tax regime? Or is there sort of potential pushback there?
Ivan Glasenberg: Look, right now, it's not a matter of acceptance. We continue talking to the government about the new mining code. We are paying the higher royalty today. And the ops structure, we're not agreeing to it. So we are stating that it's not under acceptance. We still have the old mining code. It has a stability agreement in it. We're still backing by that, but we continue discussions with the government around it. And we'll see how we progress, but it's not an acceptance of the new mining code yet.
Myles Allsop: Do you feel the political backdrop now is a lot more stable than sort of 12, 18 months ago?
Ivan Glasenberg: It seems okay. We've been dealing with the government on various issues. So we continue dealing with them. There is stability in the country. You don't see any major issues in the country, so it looks okay.
Myles Allsop: Another couple of very quick questions. Just with the capital management, should we assume that you can turn it on out of cycle? So if you get to your target net debt range tomorrow, we could see an announcement a day after, in theory, that we're going to have excess cash returned to shareholders? That's the way...
Steven Kalmin: Yes. I mean we have announced buybacks outside of cycles in the past. So that possibility, in theory, clearly, it does exist.
Ivan Glasenberg: Yes, we can do it any time, but you've got to focus on two things. Number one, okay, what the commodity price is, what we assume is going to stay going forward. Are we going to get the $12.2 billion or maybe get a $15 billion EBITDA? How much cash generated net? And then it depends where the share price is sitting again.
Steven Kalmin: It would be unusual to do it outside of the financial cycles, but it's theoretically possible.
Myles Allsop: And then just on Agri, you're saying how well it's doing. And in the past, you maybe spun it out stake. You talked about driving consolidation within that space. I mean is that very much off the cards at the moment because of the focus on the balance sheet? Or are those sort of opportunities still in the air and a real possibility?
Ivan Glasenberg: The Agri business, the balance sheet is okay within the Agri business. You also know we have strong partners there. So we will -- it's always been an idea to continue to try consolidate that industry and try to grow that business. So they continue to look at opportunities around the world.
Myles Allsop: So you could do it without injecting any additional cash out?
Ivan Glasenberg: Subject to the type of deal that has to be done.
Martin Fewings: Tony?
Anthony Robson: Tony Robson, Global Mining Research. LNG products marketing did well in 2019. Could you go into a little few more details there? And would you roughly see the split up between metals and energy for marketing similar in 2020, roughly as 2019?
Steven Kalmin: Well, I would say for '20, maybe energy comes off a bit and minerals goes up a bit because you won't have a repeat of the sort of cobalt. Obviously, on the metal side, which was a major headwind in the first half, slightly less for the full year, but it was a negative that we'd expect positive this year. So that's just on that. And on the energy side, yes, I mean, oil did have a sort of a standout year. How repeatable that is, obviously, it remains to be seen. But you could have energy coming up a bit with mining, but it's very well broad and diversified across the businesses.
Ivan Glasenberg: The diversity of the different commodities within Glencore and the trading business and having the oil, it moves around. You saw, as Steve says, last year, cobalt suffered, but the other commodities didn't perform too badly, and all performed exceptional well. Too early to say how it's going to do this year. The first month has been relatively good. All commodities kicked in nicely during the first months in the trading business. So we'll wait and see. But as you can see, we're always pretty strong since we've been public. We've used that $2.2 billion to $3.2 billion range. And as we've always said, the Marketing business is extremely resilient no matter what the movement in the commodity prices.
Martin Fewings: Sergey, yes?
Sergey Donskoy: Sergey Donskoy, SocGen. Two questions from me. One on this comment that you made at the very beginning about reducing coal production by 30% by 2035 to meet Scope 3 emissions target. So far as I understand, about half of that will be met through depletion of resources in Colombia. But the other part is, obviously, South Africa. And the question here is this, to which extent is your firm commitment? And to which extent it's a reflection of the weak price environment and whether you can kind of review this target going forward if the situation improves? That's my first question.
Ivan Glasenberg: Yes. It's not to do with the weak price environment, we're just depleting the reserves. Reserve base is so much. It comes to an end. Prodeco, Calenturitas and La Jagua comes to the end of its life. Cerrejon comes to the end of its life. I think it's around about 2032 or something like that. It also gets to the end of the life. You've depleted the reserves. South Africa also depletes part of reserve. So there's not much you can do about it. Those are the facts. We're going to projecting Scope 3 emissions reduction by 30% by the year 2035.
Steven Kalmin: So again, there's also -- sorry, there's also the oil business that contributes currently. And that sort of also goes from where it is to...
Ivan Glasenberg: And depletes down.
Steven Kalmin: To almost being done by that. So the coal profile is -- I mean don't assume just take 30% Colombia this and try and sort of back solve where it is. There's a whole...
Sergey Donskoy: In South Africa, in theory at least, you can invest in virgin resources, but basically, you can develop new mines...
Ivan Glasenberg: Can invest in, sorry?
Sergey Donskoy: In new resources, you can develop new mines and access new resources quite easily, in principle.
Ivan Glasenberg: On our existing reserve structure, to maintain those levels is utilizing our existing reserves in the country. Now the question, do we -- do you want to -- you could buy more, et cetera, but we're also limited to a 150 million tonne cap. So the way we see it is what we got, what we wish to expand, what we wish to do, looking across our reserve base, et cetera, we will reduce Scope 3 emissions. Our projected number is 30% by 2035.
Sergey Donskoy: And my second question is on Marketing division performance, especially metals and minerals, the second half number, speaking of EBITDA, was a very big improvement on the first half, but that was partly because the first half was affected by one-offs. If we add back those one-offs, the increase was about, I think, 8% half-on-half. And at current levels, EBITDA from metals and minerals remains, and my number is about 15%, 20% below the average over the last 3, 4 years. Is this a reflection of some structural issues, some headwinds in this particular division that may prevent it from achieving those high levels it enjoyed before?
Steven Kalmin: I mean, no, there's nothing -- there's certainly nothing structural. It's had some very good years in the past, which then become sort of high -- sort of above-average performance. So there's definitely been some of those years. But there's nothing structural that's reset kind of what we'd expect in a normal year or would prevent it from getting back up to those levels. But cobalt, as you said, was the major sort of noncash one-off in the first half, the $350 million. And -- but if I look across, I mean, the -- given sort of South Africa ferrochrome, that market was tough second half. So they would have been sort of below average, but no reason that's not structural. That gets back up and running at some point. So things like your chrome, manganese, vanadium was below average, I would say, second half. So that can have improvements going forward in terms of singling out...
Ivan Glasenberg: We've always said higher commodity prices, there's more margin in the business. There are more arbitrage opportunities, markets are tighter, so you're talking historically where we've been high. We had higher commodity prices, so it's been a bit tougher while we got this lower commodity prices. But as I've always said, the Marketing business is pretty resilient even with these lower prices. But we've always said, we performed better during higher prices, and we're more towards the $3.2 billion as opposed $2.2 billion during higher commodity prices. With better arbitrage opportunities, markets are a bit tighter.
Sergey Donskoy: And my last very small question. Current pretty high gap -- price gap between South African and Australian coal. How do you rationalize it? It didn't exist historically.
Ivan Glasenberg: Yes. I think a lot of it because demand for South African coal is moving towards India, Bangladesh, Pakistan. And I don't know the exact figure off my head, but I think around about 75% of South Africa's coal is going to those 3 regions. So it's getting that advantage. The quality of coal that's required is South African, and the lower top-quality coal is going into some of those areas. So that's, I think, the reason why you got there. So South Africa today on spot, I think, is pricing at around about $88. Australia is pricing at about, Newcastle, around about $76, but it's because of the demand for that particular coal in India, Pakistan, Bangladesh, where South Africa's coal is relatively tough. You also remember...
Steven Kalmin: And its supply is constrained. South Africa's supply is constrained.
Ivan Glasenberg: And supply is also tight, where South Africa is exporting around about 73 million tonnes of coal today, I think, around about that figure, and there's no big growth. So supply is extremely tight. Eskom, okay, is taking a bit less than they're used to in South Africa, but you've got certain mines going into Eskom. Export is limited. Depleting coal reserves once again at various mines in South Africa and Australia is towards around about -- closer towards the 200 million tonnes and going into other markets. They're not going into that particular market where South Africa is getting the advantage.
Martin Fewings: Tyler?
Tyler Broda: It's Tyler Broda from RBC. Two questions from me. The first one, just on Mutanda, I guess the cobalt market remains quite oversupplied, but you're seeing a lot of demand from potential buyers over time to come in. I guess my question would be just in terms of the sulphides project in Mutanda, when do we expect to see more from that? And sort of what would be the timings around bringing that back online? And then secondly, for Steve, the -- we've seen a big drop in shipping rates over the last few weeks, I guess, from both an IFRS lease perspective as well as just the Marketing business in general. Could you just kind of walk through how that could potentially affect the profitability?
Ivan Glasenberg: Okay. On the first one, Mutanda, as we said, we now got it on care and maintenance. We're assessing the sulphide. Peter and his team are working on that. It's going to take a bit of time to assess when we could start it up, how profitable it would be. It also depends, the mining code also affects Mutanda, where we will be sitting on the mining code at the time we do start-up and whether that -- what effect that will have, whether we're sitting on the old code or the new code. So those are issues we've got to look at, how -- in sulphide, how we're going to process it, et cetera. So we're looking at various options here. But -- and then I think, personally, you should take at least 18 months to 2 years before we really could decide whether we get that up and run again. However, if there is an oversupply in the cobalt market, and we believe the world does not need it just yet, you're then talking 2022, we got to assess how the electric vehicle battery industry is performing and how much is required into the market at that time. I think we're talking today, can't remember the exact number, around about 37,000 tonnes of cobalt utilized in that area. And how does that grow? We've got to monitor that closely and then we'll decide. But as you know, with Glencore, we're not going to put a product into a market that is already oversupplied. That would have a negative effect on the pricing. So we'll assess that very carefully.
Steven Kalmin: Shipping, these are very short-term contracts that we obviously have that is just a new way of presenting them. We've always had sort of time charters and leases that gets consumed generally within our own business and shipping our own products. So it's not a material part of the business. So you would -- there's no big length in shipping that you do worse because prices go up or if prices go up and freight rates that you would -- it's a small part of just securing the logistics that we need to be able to run the business, so no material impact on the business.
Martin Fewings: Ephrem?
Ephrem Ravi: Two quick questions. First, on the portfolio mix adjustment for coal, your assumption has come down from around $10 per tonne at the December stage to around $5 per tonne on 135 million tonnes, about $1 billion of incremental EBITDA. So it's big. I understand it does not include the Japanese fiscal year assumptions because those contracts are still being negotiated. Given the spike in coal prices because of the coronavirus impact, do you think there is further upside to those portfolio mix adjustment numbers if the Japanese fiscal year contracts are now to be better? That's one. Secondly, on the ferroalloys business, which was a disappointment last year, vanadium and ferrochrome prices are both showing signs of life. Is there a volume upside to be expected this year versus your guidance? Or is it just going to be price that's going to drive the upside if things get better?
Steven Kalmin: Okay. The portfolio mix, we do build into that portfolio mix some assumption of that certain percentage of our coal is going to get contracted under the JPU benchmark and what premium that we think is reasonable in the assumption. We'll then, obviously throughout the year, we'll then roll it into actuals rather than a guidance. So whether it's sort of historical premiums that we expect for X number of tonnes relative to a sort of a Newcastle benchmark, I don't know the exact numbers, but we sort of -- I don't know what the premiums are, but we build in a normal and then either we will beat that or we will not beat it. And then we will come in June or before and we'll either shrink or expand that portfolio adjustment based on that percentage of the tonnes. It's not as material across the portfolio maybe as it once was. Obviously, at some point, it just locks in your price. But in terms of the size of those tonnes, it's not quite as material as it once was. Obviously, the strength in the API4, the South African, back to that question that was asked earlier on, that's also narrowed that gap because it's all pegged off a Newcastle. Historically, there would have been a discount. In fact, there's a premium in that, so it's contributing positively. And you've seen also a pickup on the met side, which feeds into the portfolio. You've seen $10 sort of -- it was $1.50 or so through January. You've seen pickups to $1.60. So it's early days in the coal world. There can be sort of evolutions. But we do try and call it the way we see it at a particular point in time and provide that sort of guidance at sort of $3.2 billion. And there's a lot of real estate between now and...
Ivan Glasenberg: But moving parts in the Japanese negotiation, we've got a few different time frames. We've set them.
Steven Kalmin: The last couple of weeks has been positive on the coal side.
Ivan Glasenberg: Positive. And we'll see, with the coronavirus, exactly what effect it has on the Chinese coal production. So it's daily monitoring.
Steven Kalmin: On the ferrochrome side, I would say -- I mean I wouldn't expect a volume upside necessarily pricing-wise, hopefully, given there has been a little, as you said, pickup on the European side. If anything, we need to get through the Rustenburg process because we had assumed, obviously, some tonnage coming out at the Rustenburg smelters, 1 of 4 or 5 complexes that we have down there. We announced, I think, 4 to 6 weeks ago, a consultation period effectively around that because it's been losing money, and it's the most expensive and has been the most impacted by inflation, high prices and the like. It's not sustainable. It hasn't been producing, but its capacity is 250,000, 300,000 or so. So it's -- and we had assumed an overall portfolio, production-wise, that included some Rustenburg value. So let's see where that obviously proceeds. But the business, particularly that smelter and generally, needs to see high prices.
Martin Fewings: Sandeep?
Sandeep Peety: This is Sandeep from Morgan Stanley. I have a question on depreciation. It has increased to $7.1 billion versus $6.3 billion last year, a delta of $700 million to $800 million. So is that a normal run rate that we should think for next few years? And then secondly, on free cash flow, can you give a breakdown of what was free cash flow on Marketing and what was for Industrial? Because you used to have a slide in prior presentations.
Steven Kalmin: Yes. The depreciation, so part of the leasing would have increased depreciation relative to the historical. As we've said, we've added that $1.3 billion of leases. These are fairly short-term profiles, so there's sort of $300 million to $400 million in depreciation just on the leasing change relative to what was -- what standards applied in the previous years. And then it would be just the general commissioning of these various projects and these new expansions, so there'd be more depreciation. As in the oil side and the drilling, there'd be just assessment of mine lives, new projects, Koniambo now depreciating, that previously was all getting capitalized as that sort of production. Katanga now with the ramp-up as it sort of keeps expanding through its 150, 235, 270 this year its depreciation. Unit of production at space is quite correlated with that production, so you'd find these 200 to 300 out of the African portfolio as well would be accounting for that. So if you look at it asset for asset wise, you would see that it makes sense across the different expansions and where the maturity profile of those assets are. But it should be, given production levels now, I would imagine it should be fairly stable at those sort of levels.  Free cash flow from Marketing, well, I mean $2.4 billion EBIT. Tax across that business, we've always said sort of circa 10% is what the blend would be across the different jurisdictions, primarily Switzerland, obviously, the biggest buyer country model there. That's circa 10%. U.S., Singapore, various other places, 10% is a reasonable average across the marketing. So it just comes down to the interest side, and we haven't got that specific number here. But I think we might have -- we can look to reintroduce that in some of the disclosures going forward if it's useful information, again, rather than a consolidated view I know we did in the past.
Martin Fewings: Grant?
Grant Sporre: It's a couple of follow-up questions. First of all, on the M&A front, I mean there is potentially a neighbor within the Hunter Valley up for sale. Mount Isa is super compelling in terms of industrial kind of synergies potentially as well as marketing synergies and so on. I mean are you going to continue to be nimble, flexible, innovative and see through ways to capture that without meaningfully increasing coal exposure, obviously, improving the quality of the coal portfolio?
Ivan Glasenberg: We always look to increase the -- to capitalize on opportunities, but we will have to live within the bands and the commitments we have. So as you say, we could dispose of things. We've got various assets we could dispose or do something with, but something is going to be very compelling for us to look at it. There's going to be a lot of synergies. You got to give us the right returns, et cetera. So people are looking at potentially selling assets. We're not doing the same. As I say, we are just purely depleting and we're reducing. We're not selling an asset to get rid of our Scope 3 emissions. But if there's opportunities there, we'll look at it, but we'll still stay within our limits.
Grant Sporre: Is Mount Isa, from a geographical perspective, as good as HVO in terms of...
Ivan Glasenberg: We cannot comment on that. I cannot comment.
Grant Sporre: And then maybe the second question -- last question. Just thinking about succession planning, can you remind us what you're looking for? Have you found any mini-mes in the -- any clones in the ranks and timing and so on?
Ivan Glasenberg: We always said the Board is looking at various individuals throughout the group. We've always said that will be internal. There are a lot of internal members within the group who could take over. But as I say, we've got to get first in place, as I said, the fourth generation in place, and then we'll move on the last leg.
Martin Fewings: And Jason?
Ivan Glasenberg: You can ask the Chairman, yes.
Steven Kalmin: You have the Chairman's list, the Chairman of the Nom Committee?
Ivan Glasenberg: Yes.
Jason Fairclough: Just to follow up on -- it's Jason Fairclough. The -- to push you a little bit on this, I mean, why wouldn't you consider external? And I guess, beyond that, where are the guys? Because when you -- the new generation used to bring everybody along.
Ivan Glasenberg: They're working, they're working, working for the company. They're making us money to ensure they're ready for the job.
Jason Fairclough: Proving themselves?
Ivan Glasenberg: Proving themselves. If they sit, they're not doing much. So what were you saying about -- why not external?
Jason Fairclough: Why not external?
Ivan Glasenberg: I think we've got such great internal candidates. They've been with us for many years, names have been thrown around. And naturally, there's someone great out there who could run this company better than the internal guys. Of course, we would have to look at that. But right now, we think there's such a good bench of internal guys who could take the position. Definitely, I very much doubt if there's anyone better than them outside the company who can run this company better in the future. They've been in this company 20, 25 years. Most of those individuals' names have been thrown around. They know the company. They know the culture of the company. They know how this company operates. So I think they'll be great for the future of this company to ensure it continues its growth in the future. And if you've got any names, send them to the Nom Committee. 
Ivan Glasenberg: I think that's it. Thanks very much, and that's the results for '19. Thank you.